Operator: Good day everyone and welcome to the DTE Energy Hosted First Quarter 2014 Earnings Release Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Anastasia Minor. Please go ahead.
Anastasia Minor: Thank you, Nikki, and good morning everyone. And welcome to our first quarter 2014 earnings call. Before we get started, I would like to remind you to read the Safe Harbor statement on Page 2, including the referenced forward-looking statements. Our presentation also includes reference to operating earnings, which is the non-GAAP financial measure. Please refer to the reconciliation of GAAP net income to operating earnings provided in the appendix of today's presentation. With us this morning is Peter Oleksiak, our Senior Vice President and CFO; Jeff Jewell, our Vice President and Controller; and Mark Rolling, our Vice President and Treasurer. We also have members of our management team with us to call on during the Q&A Session. And with that, I would like to turn it over Peter to start our call this morning.
Peter Oleksiak: Thank you, Anastasia and good morning to everyone. Thank you for joining us today. There will be a beautiful spring day here in Detroit reaching close to 60 degrees. Actually, it’s supposed to be raining today but we’ll take rain and 60 at this point in the year. Hard to believe that only a few weeks ago we had our last blast of winter and snow at its first quarter was one for the record books, record cold, record snow and the Red Wings reaching the play offs the 23rd year in a row, so as I said about the first and last records I mentioned, the cold and Red Wings definitely too much snow. Before I get started I’d like welcome Jeff and Mark to the earnings call for the first time in their roles. They’ll be taking you through earnings and cash flow after I provide a brief overview. We’ll turn on Slide 5. Before I jump in the financials, we’d like to review our investment thesis. At the top of this list is our utility growth plans, next few years these plans are driven by environmental-related spend. In the longer horizon, we’ll be starting the process of renewing our aging coal fleet with gas and renewables. For gas utility, we have cast iron main replacement program that will last several decades. What sets us apart from most of our peers is our non-utility investments. We have strict criteria where they have to make strategic sense and are contracted to reduce risk. In this space, we’re more excited about our non-utility gas midstream business. We know every day we need to earn the regulatory structure in the environment we currently have. In a few pages, I’ll describe our recent move we made with our next electric rate case to further reinforce this environment. Now the way to keep regulatory structure we have is to deliver strong operations and high customer satisfaction. And as always, we look focused on cash and keeping a strong balance sheet which has led to recent credit upgrades. This approach has translated to strong results as you can see on the next page. On Slide 6 you can see that we have a targeted earnings per share growth of 5% to 6% and we have achieved over 7% since 2008. In our planning process, I know we’ve described that we do have contingency if you see last year’s we did not need that contingency and overachieved our 5% to 6%. Another key component of our investor value story is our dividend growth. We have grown dividends since 2010 and have grown them at a 5.4% average. The $4.30 guidance midpoint puts us at a 61% payout near the bottom of our range. With the growth contemplated on utilities and non-utilities in the next five years we will be approaching a $1 billion of net income at the end of this timeframe. We can now turn to Slide 7 and this shows our earnings guidance by segment. We are reiterating our earnings per share guidance range of $4.20 to $4.40. Although the first quarter weather wasn’t favorable to our utilities, our gas utility in particular is still early in the year. You can see in the guidance since many of you maybe scratching your head looking at our guidance for the utility gas that we did not change that. We have put there a green arrow up there. We have not changed the gas segment guidance even though at some point in the year we will know that we probably we will be revising that segment higher and most likely when we remix all of our segments after the third quarter. At this point in the year, we’ll reserve the winter weather favorability in the first quarter as contingency for summer weather variability. Jeff will cover the details and the amount of the weather that landed in the first quarter and is now guidance contingency. We also plan on reinvesting some of weather upside directly back into our gas utility. So bottom-line, there are no changes to guidance at this time but with a strong bias upward. As we discussed in our 2013 year-end call given the strong performance of our utilities and growth oriented non-utility businesses, our 2014 guidance does not depend on operating income contribution from our trading business. Accordingly, we have set the Energy Trading earnings guidance for 2014 at zero. Longer-term we expect 20 million to 25 million of economic earnings per year and we made earnings comment that income it will be over and above of our 5% to 6% earnings goal. I mentioned this because you will see in the guidance here on this page in our financial results sections of our presentation that Jeff will walk you through, we’ll be providing earnings results and guidance for our growth segment in addition to operating earnings including the contribution of Energy Trading to better illustrate where growth is coming from. We get a lot of questions around updates on the Michigan economy and on Page 8 highlight some of the key metrics here and it does provide evidence of an improving economy of Michigan. You can see that most of the Michigan economic indicators have returned to pre-recessionary levels and are forecasted to continue to improve in the near-term. You can see auto production levels are well above the lows of 2009, and actually on a national level the U.S. auto sales are at 16.4 million which is definitely better than pre-recessionary levels. A key indicator at Michigan employment that continues to trend downward. The March unemployment number which just came out was 7.5% which is the lowest since May of 2008. And Michigan actually leads the nation in new manufacturing job creation. On Slide 9 it is what I indicated earlier in terms of the move that we made here in the first quarter around our electric business. This slide provides another indication of how the support of regulatory environment the MPSC approved our application to suspend and move the amortization of the DTE Electric’s revenue decoupler to 2015. A revised plan to file a rate case at the end of 2014 or early 2015 with the option to self implement in six months. We have a strong focus on cost control, customer affordability, and maintaining strong regulatory relationships. This action demonstrates our focus on all three of those priorities. For DTE Gas unit, we’re leveraging our infrastructure recovery mechanism and continuous improvement to keep operating costs as low as possible with the intent to stay out of rate cases for three years. Finally on Page 10, before I hand it over to Jeff to sum up. We remain confident in achieving our 2014 guidance. First quarter results were very strong with higher earnings quarter-over-quarter across utility and non-utility businesses. Both utilities came in well over last year due of course due to colder weather we had this past winter. Our cash from operations and balance sheet remains strong providing the foundation for our growth investments. With that I would like to turn the call over to Jeff Jewell, our Vice President and Controller to provide more details on the first quarter results. Jeff?
Jeff Jewell: Thanks, Peter and good morning everyone. I would like to start on Slide 12 and the first quarter earnings results. For the quarter, DTE Energy’s operating earnings were $1.69 per share. And as a reference our reported earnings were $1.84 per share. You’ll find a reconciliation of the first quarter reported operating earnings on Page 29 with the largest reconciling item related to the mark-to-market time and adjustments at Energy Trading which we discussed with you in the year-end call. Now for the business segments, the major driver for the quarter as everyone would expect was the extremely cold weather. The November through March season in Southeast Michigan was the coldest in 100 years, produced a record snowfall that was over twice the average, and DTE Gas set two daily volumetric records in January; one for daily storage withdrawals and the other for daily system throughput. Each of these records were 50% higher than the average. For the two utilities, DTE Electric contributed $0.77 and DTE Gas came in at $0.73. The non-utility segments combined earned $0.25 with Gas Storage & Pipelines at $0.12, and industrial projects at $0.08 and Energy Trading at $0.05. Corporate and other had a loss of $0.06 for the quarter. Let’s move to Slide 13 and a summary of the quarter-over-quarter performance by segments. The first item I would like to draw your attention to is how we will be discussing our operating earnings for the Company going forward. As Peter explained in this overview, will be discussing our earnings with and without Energy Trading to better illustrate alignment between our growth goals and our growth segment and businesses. If we start on the left side of Slide 13, you will see two boxed areas, one called growth segments operating EPS and the other called operating EPS. The growth segments include the segments that will contribute to our 5% to 6% EPS growth goal that excludes Energy Trading. The second box is labeled operating EPS and includes all DTE Energy segments including Energy Trading. Now for the results for the quarter by segment. Growth segments operating earnings were up 65 million for the quarter. Both our utilities, DTE Electric and DTE Gas had significantly colder than normal better in 2014 versus the near-normal weather in 2013. DTE Electric earned 21 million year-over-year and DTE Gas had an increase in earnings of 33 million. Gas Storage & Pipelines earnings were 4 million above prior year. This increase was primarily due to the growth in our Bluestone pipeline and gathering assets. We also saw weather driven favorability in our storage business that was partially offset by deferred revenue accounting adjustment. Our Power & Industrial Projects segment was up 3 million from 2013. This increase was driven by higher reduced emission fuel earnings, from relocations completed in the late 2013. Our Corporate & Other segment came in favorable by 4 million from last year, primarily due to lower taxes. These results again provided 65 million of favorable earnings quarter-over-quarter at the growth segment level. At Energy Trading results were 1 million higher due to market opportunities in our gas marketing business offset by losses in the power marketing group. Page 28 in the appendix contains our standard Energy Trading reconciliation page which shows both economic and according performance. I would like to now turn to Slide 14 and walk you through some quarterly details for both DTE Electric and DTE Gas. Starting from the left with DTE Electric, the Electric segment had earnings favorability of 21 million quarter-to-quarter with 13 million attributable to weather, 14 million related primarily to the 2014 amortization of our revenue decoupler liability and a reduction of 6 million for higher O&M and depreciation expenses. The chart on the right shows DTE Gas was up 33 million with the major driver being weather of 28 million and other net favorability of 5 million, which was driven by increased midstream storage margins offset by increased weather-related O&M expenses. Adding the two companies together, we experienced more than 40 million of weather favorability during the quarter or about $0.25 per share. Now turning to Slide 15 which adds some additional color to Peter’s earlier comments on EPS guidance. As you know we operate and manage DTE Energy as a portfolio and strive to deliver on our stated growth targets. Since it is still very early in the year and we have the potential for significant earnings variability in our Electric segment due to the summer weather we’re not changing our 2014 EPS guidance of $4.20 to $4.40 or segment mix at this time. The chart depicts how we are thinking about our balance of the year potential weather exposure in relationship with the first quarter weather favorability of $0.25. We view the two currently offsetting each other thus leading us back to our guidance range of $4.20 to $4.40. That concludes the update on our earnings for the quarter. I would like to now turn the discussion over to Mark Rolling, Vice President and Treasurer, who will cover cash flow and balance sheet metrics.
Mark Rolling: Thanks, Jeff and good morning everyone. I want to start off by saying that it’s great to be back working with our investors and analysts again. So you’ve heard my predecessors saying many times that maintaining a strong balance sheet and cash flows is a key priority for DTE. And I want to assure you that is still going to be the case going forward. I am going to begin on Slide 17 with a look at our first quarter cash flows. Through March cash from operations was $500 million, down slightly from 2013. The colder weather that Peter and Jeff spoke about drove higher customer cash proceeds and at the same time those were largely offset by higher purchases of gas and power that were needed to meet those demands. Capital spending was slightly higher than last year due to increased CapEx at the electric utility and continued investment in our Gas Midstream business. Overall, DTE’s net cash was down slightly year-over-year and in line with our full year guidance. Slide 18 lays out our capital investments in a little more detail. The electric utility capital was higher due to increased spending and distribution reliability projects and the refueling outage at our nuclear plant. Gas utility is a little lower quarter-over-quarter, but that’s really timing related. And the non-utility CapEx is up driven by investments we are making at our Bluestone-related assets at Gas Storage & Pipelines. Let me wrap-up with a look at our balance sheet metrics on Slide 19. Our balance sheet remains strong with both leverage and FFO metrics expected to be within the targeted range for the year. We have adequate liquidity with 1.5 billion of available liquidity at the end of the quarter, and our plans are to issue no new equity in 2014, but plan to issue between 200 million and 300 million of equity in 2015 and 2016. And now I’ll turn the discussion back over to Peter.
Peter Oleksiak: Thanks Mark. Summary on Slide 21, you can see the first ticked point that we are on-track to meet our operating earnings guidance, and I can say we are more than on-track. As we described and Jeff described, we’re coming in the remaining three quarters with some good contingency to the guidance. Also we received approval from the MPSC to suspend our electric revenue decoupler. This has actually helped us to move that rate case timing to the end of ’14 and early ’15. We think that’s been a good move for us and for our customers. Our balance sheet and cash flow metrics remains strong and investments in our utility and non-utility businesses will provide the targeted 5% to 6% EPS growth on a go forward basis. I’d like to thank you all for listening to our call this morning, and Nikki I would like to open it up now for any questions that maybe out there.
Question:
and:
Operator: Thank you. (Operator Instructions) Our first question comes from Dan Eggers with Credit Suisse. Your line is open.
Dan Eggers : Good morning. Can you guys just update us on the status around electric choice, and what is happening with the proposed legislation both for and against, and when you see potential resolution coming?
 Credit Suisse: Good morning. Can you guys just update us on the status around electric choice, and what is happening with the proposed legislation both for and against, and when you see potential resolution coming?
Peter Oleksiak: There is a bill introduced that was looking at the deregulation bill which was a very interesting twist, as we have been seeing overtime, bills to increase the choice count and so this was an interesting one where that was for, and moving away from the hybrid model, the deregulation -- that has gotten its time in due diligence, but now there is really no support for that bill. And if anything, it’s really putting the broader context around regulation and central the re-regulations. So that bill on particular, right now it’s pretty much is on its course.
Dan Eggers : And just in pipeline expansion that was highlighted as a key area of growth in 2013, what kind of updates can be look is at the upcoming AGA conference?
 Credit Suisse: And just in pipeline expansion that was highlighted as a key area of growth in 2013, what kind of updates can be look is at the upcoming AGA conference?
Peter Oleksiak: The AGA conference, we’re kind of working through right now internally. The level of disclosures that we’re intended to increase the disclosures in the pipeline segment, give you some more updates around the pipeline, the gathering, potentially even at the storage which are three components of that business and looking at expansions, looking at growth plans and looking at capital spend for those segments.
Dan Eggers : Okay, thank you.
 Credit Suisse: Okay, thank you.
Operator: And the next question comes from Matt Tucker with KeyBanc Capital Markets. Your line is open.
Peter Oleksiak: Hi Matt.
Matt Tucker : Good morning and congrats on a nice quarter.
 KeyBanc Capital Markets: Good morning and congrats on a nice quarter.
Peter Oleksiak: Thanks.
Matt Tucker : Just a follow-up on the midstream side you talked in the past about ongoing discussions for additional acreage commitments at Bluestone. Could you provide some update on that as well as the progress you’re making on President’s Agreements for the NEXUS pipeline?
 KeyBanc Capital Markets: Just a follow-up on the midstream side you talked in the past about ongoing discussions for additional acreage commitments at Bluestone. Could you provide some update on that as well as the progress you’re making on President’s Agreements for the NEXUS pipeline?
Peter Oleksiak: Sure, starting with Bluestone, the activity around Bluestone continues at a vigorous pace, we actually have a couple of things on the pipe itself. We’re in the process of expanding. We have put this pipe into service late 2012, so a little less than a year half and later we’re doubling the capacity of the pipe northward that’s progressing along. We’ll have those expansions in place this year and the beginning of next year. On the gathering side, we’re right now currently working with Northwestern with our gathering around the Bluestone project with the additional acreage that they have and potentially we’re cutting our teeth on this first acreage they have. So we’re optimistic we have a great relationship with Southwestern Energy and we’re improving ourselves out with the first tranche of gathering there.
Jeff Jewell: You asked also around the NEXUS project, I can give you a brief update there as well and that we’re very excited about this project. Jerry indicated on the year-end call, we saw a significant spike in interest levels. Interest here with project where that’s kind of a medium level when the cold happened. There were strong price signals in the Michigan Ontario market. That interest continues to be strong even though the weather has tampered here. We have three agreements. We’ve talked about on this pipe. We’ve talked about it in terms of it being supported around end utilities. We have three agreements at this moment of time with three utilities of anchored the project. This project really is going to be driven through on the producer side the amount of shale gas is going to be coming in this region and the activity on that side continues to happen at a feverish space, and we’re in discussions right now with half a dozen producers and actually a late stage negotiations with the few of them. We are also progressing on some of the engineering field work related to the project. And we are very bullish on the project at this time. The Utica shale is actually one of the most profitable shale plays in the country. A lot of drill bit money being allocated to the region and we’re excited to have the project right in the middle of it.
Matt Tucker : Thanks. Do you have a kind of timeframe in mind right now that you’re targeting for kind of go-no-go decision on the project?
 KeyBanc Capital Markets: Thanks. Do you have a kind of timeframe in mind right now that you’re targeting for kind of go-no-go decision on the project?
Peter Oleksiak: For the project right now the targeted end service stage is in the end of 2017. We’d be really referring around these agreements. We’re really going to be building this thing. We need to get an 80% to 90% of basically capacity committed to it and around a midyear timeframe is what we’d be looking for. I think it’s really more of a matter of time at this point versus the go-no-go given the extremely strong interest that we’re seeing in the project.
Matt Tucker : Got it. Thanks. And then just shifting gears, it looks like the RDM liability amortization was about a 14 million impact to earnings, is that the right level to be assuming for the second quarter and then when it picks up again next year and could you give the pre-tax number associated with that?
 KeyBanc Capital Markets: Got it. Thanks. And then just shifting gears, it looks like the RDM liability amortization was about a 14 million impact to earnings, is that the right level to be assuming for the second quarter and then when it picks up again next year and could you give the pre-tax number associated with that?
Peter Oleksiak: The RDM amortization overall if you recall it 127 million pretax and when you kind of break that down after-tax per quarter it’s a little south of $20 million per quarter. We’ll have that in the first quarter and second quarter of this year. We’ll stop the amortization and begin again next year of the first and second quarter of next year.
Matt Tucker : Thanks. And just one last just follow-up to that. Can you talk about how the decision to defer the second half amortization kind of plays into your intact guidance?
 KeyBanc Capital Markets: Thanks. And just one last just follow-up to that. Can you talk about how the decision to defer the second half amortization kind of plays into your intact guidance?
Peter Oleksiak: For this year it is contemplated in reiteration of this year’s guidance and that is -- as we came into the year I’d say it’s a combination of taking look at the cost controls that we put in place, a lot of that was in the benefit reductions, and we had another tranche of benefit reductions that happened last year related to our union contract, so we really understood that, understood what’s happening with discount rates related to those benefit expense. And also to some of the first year favorability that we’ve seen here on the weather side, so one way that we’re essentially reinvesting it back into our business with our customers. We’re utilizing that to basically suspend in the move that amortization and move out our rate proceeding to the end of the year or early next year.
Matt Tucker : Got it, thanks Peter.
 KeyBanc Capital Markets: Got it, thanks Peter.
Peter Oleksiak: Yes.
Operator: And the next question will come from Andrew Weisel with Macquarie Capital. Your line is open.
Peter Oleksiak: Hi Andrew.
Andrew Weisel : Thanks. Good morning guys. My question is about the load growth I see from the supplemental slides you have it at zero. I know that weather normalization is practically impossible with this quarter but just wondering that is a slowdown from last year, so just wondering if that’s something that you see as a real trend or is that just noise around the extreme weather?
 Macquarie Capital: Thanks. Good morning guys. My question is about the load growth I see from the supplemental slides you have it at zero. I know that weather normalization is practically impossible with this quarter but just wondering that is a slowdown from last year, so just wondering if that’s something that you see as a real trend or is that just noise around the extreme weather?
Peter Oleksiak: I think it’s a good question, and I am going to ask our Controller Jeff Jewell to answer that question.
Jeff Jewell: Hi Andrew yes what we’re forecasting that we had for this year was -- as we’ve stated before is about a half percent growth overall. And so what we’re seeing is we’re seeing that in the first quarter in line with that in the industrial and the commercial and you’ve seen that temperate normalize piece. And then what you’re seeing in the residential just like you mentioned it temperature normalization, you’re right, that creates some challenges around that, but we still feel that that’s going to come in flat and that in combination with the commercial and the industrial is going to allow the overall to be in about that half a percent growth year-over-year.
Andrew Weisel : Okay. Thank you. Next question is as far as trading, I know you’re assuming zero for this year. I think I heard you say you’re expecting more of a long 20 to 25, is that right?
 Macquarie Capital: Okay. Thank you. Next question is as far as trading, I know you’re assuming zero for this year. I think I heard you say you’re expecting more of a long 20 to 25, is that right?
Peter Oleksiak: That is correct. We have indicated for this business unit that -- we really don’t want to put a part of our guidance in our operating earnings growth, so we are signaling the zero your guidance. And actually the other phenomenon that's happening here in the near-term, we are moving a portion of that business to more longer-term contracts so they have more accrual accounting basis, so there will be a lag between accounting recognition and economics. When you look at the pure economic income and that’s the main metric we use to judge this business unit it is a $20 million to $25 million range that we are looking at over the longer-term. And this year if you look at the first quarter they achieved $10 million of economic net income.
Andrew Weisel : Okay, so the way you present to that is sort of below the growth line, to me that looks like what some companies would call a discontinued operation or non-core, is there any reconsideration about keeping this business?
 Macquarie Capital: Okay, so the way you present to that is sort of below the growth line, to me that looks like what some companies would call a discontinued operation or non-core, is there any reconsideration about keeping this business?
Peter Oleksiak: We are definitely keeping the trading business. We think there’s a lot of strategic value from the cash perspective, the 20 million to 25 million overtime is cash that provides actually a lot of good market intelligence for us from the commodity standpoint as well as different geographical regions. For instance it is interesting in this last quarter, we were talking around the Northeast and the PGAM market, and some of the challenges we’ve had there and actually there has been a lot of insights we’ve gained here. And our management team has gained around PGM and the PGAM markets, just having the training company. So it is -- definitely it provides a lot of interest to you, what have you.
Andrew Weisel : Okay, great, and my last question sort of a bookkeeping one. When I look at your cash flow, I see $15 million of stock repurchase; what’s going on there and should we expect that to just be timing over the year, and it will be a net zero?
 Macquarie Capital: Okay, great, and my last question sort of a bookkeeping one. When I look at your cash flow, I see $15 million of stock repurchase; what’s going on there and should we expect that to just be timing over the year, and it will be a net zero?
Mark Rolling: Hi Andrew, this is Mark Rolling. That is just geography in the cash flow statement. We’re not issuing new equity. We settled up on some of our employee benefits, equity options, equity benefits. And we actually did purchase stock and then replaced that, so it shows that on the cash flow statement as a source, and a repurchase, and it’s really net zero. We were issuing no equity and nor we are buying back equity.
Andrew Weisel : So at that, just wanted to make sure. Thank you.
 Macquarie Capital: So at that, just wanted to make sure. Thank you.
Peter Oleksiak: Thank you.
Operator: (Operator Instructions) Our next question will come from Michael Weinstein with UBS. Your line is open.
Peter Oleksiak: Good morning, Michael.
Michael Weinstein : Hi. Good morning. Can you just talk a little more about the timing of expected announcements for expansion on NEXUS, Bluestone, Millennium? And at what point do you increase your, 10% to 15% expected long-term growth rate in the segment?
 UBS: Hi. Good morning. Can you just talk a little more about the timing of expected announcements for expansion on NEXUS, Bluestone, Millennium? And at what point do you increase your, 10% to 15% expected long-term growth rate in the segment?
Peter Oleksiak: The announcements -- first stating with NEXUS as I mentioned and probably get some new disclosures in the call today, is that conversations are happening, pretty intense manner both on the utility side supporting the project as well as the producers. So we will -- as those come about we will provide update to you guys around those. I would expect over the next few months with the target of midyear having most of this wrapped up. On the Bluestone, we have laid out, Bluestone right now in terms of the expansions that will be occurring, that is the expansion right now is to double the capacity going north, and that will be happening this year with a small piece happening next year as well. And in terms of the overall growth rate, that’s something we will start talking about at the AGA, more likely than not, we’ll be probably providing an update on that on the end of the year. A lot of that is really getting a sense with all of these projects in motion to the NEXUS one in particular getting a little more firm around that before we update our longer term guidance for this segment.
Michael Weinstein : Okay, thank you very much.
 UBS: Okay, thank you very much.
Peter Oleksiak: Thank you.
Operator: And the next question comes from David Pess with Wolfe Research. Your line is open.
Peter Oleksiak: Hi David.
David Pess : Yes good morning. Just had a question, how would an extension of bonus G&A through 2015 impact your current growth plan?
 Wolfe Research: Yes good morning. Just had a question, how would an extension of bonus G&A through 2015 impact your current growth plan?
Peter Oleksiak: Right now, I will let you know the bonuses part of the extenders package, right now we do feel relatively low probability that it will get extended. If you look at that this year we have zero equity issuance, and so this year it will not impact this year. Next year we have -- in the next two years put out there a targets of 200 million to 300 million, so we do get it out, imagine it may be near to the lower end of the range, for these one of those years. It’s not going to be extremely material for us, but it may help shave off a portion of one year’s worth of equity.
David Pess : Okay. Great, thank you.
 Wolfe Research: Okay. Great, thank you.
Operator: And there are no further questions at this time. I would like to turn the conference back over to Mr. Oleksiak of any additional or closing remarks.
Peter Oleksiak: I would like to thank everybody for being on the call this morning, and for you hockey fans I know the Red Wings are down right now, three to two to one so we are going to need your support to help us breakthrough with this first round of play-offs. So everybody have a great day. Thank you for joining us.
Operator: Thank you, sir. And that does conclude today’s conference. Thank you for your participation.